Operator: Good morning, and welcome to Mondelez International Third Quarter 2016 Earnings Conference Call. Today's call is scheduled to last about one hour, including remarks by Mondelez management and the question-and-answer session. I'd now like to turn the call over to Mr. Shep Dunlap, Vice President, Investor Relations for Mondelez. Please go ahead, sir.
Shep Dunlap - Mondelēz International, Inc.: Good morning, and thanks for joining us. With me today are Irene Rosenfeld, our Chairman and CEO, and Brian Gladden, our CFO. Earlier today, we sent out our earnings release and presentation slides, which are available on our website, mondelezinternational.com/investors. During this call, we'll make forward-looking statements about the company's performance. These statements are based on how we see things today. Actual results may differ materially due to risks and uncertainties. Please refer to the cautionary statements and risk factors contained in our 10-K and 10-Q filings for more details on our forward-looking statements. Some of today's prepared remarks include non-GAAP financial measures. Today, we will be referencing our non-GAAP financial measures, unless otherwise noted. You can find the GAAP to non-GAAP reconciliations within our earnings release and at the back of the slide presentation. Before we get started, please note one change in our non-GAAP measures. Consistent with majority of our peers, we're no longer electing to qualify commodity and currency-related derivatives for hedge accounting treatment. As a result, we've redefined our adjusted gross profit, adjusted operating income, and adjusted EPS measures to exclude gains and losses or mark-to-market impacts on commodity and forecasted currency transaction derivatives until the related inventory is sold. In doing so, we'll eliminate the mark-to-market volatility within our adjusted gross profit, adjusted operating income, and adjusted EPS results. For your reference, we've included a schedule in the appendix of today's slides with mark-to-market gains and losses that were reflected in adjusted operating income in prior periods for comparability. And with that, I'll now turn the call over to Irene.
Irene B. Rosenfeld - Mondelez International, Inc.: Thanks, Shep, and good morning. As you've all seen throughout the year, the macro environment remains challenging. Consumer demand across the globe has slowed, and we continue to deal with choppy conditions in some emerging markets. In the face of this slower growth environment, we've continued to deliver solid financial results. Through the first nine months, we've made progress in several areas. Although our top-line is not yet where we'd like it to be, year-to-date organic net revenue grew 1.6%, led by our Power Brands, which were up more than 3%. Importantly, these results reflect a steadily improving contribution from volume/mix. We've continued to aggressively reduce overheads, and improve the efficiency and cost structure of our supply chain, while making necessary investments to accelerate growth. As a result, we've been able to expand adjusted operating income margin by 260 basis points. What's more, we've increased adjusted EPS by 28% on a constant currency basis, driven primarily by operating gains. Brian will provide more detail on our Q3 performance in a moment, but I'd like to underscore a few highlights. As Tim Cofer, our Chief Growth Officer, shared at the Barclays Conference in September, we're focused on accelerating volume-driven revenue growth. Although there's still room for improvement, we're making progress as vol/mix turned positive in Q3, with solid contributions from North America, Europe, and Asia Pacific. Over the past seven quarters, we've delivered a better balance of pricing and vol/mix while increasing profitability. Going forward, we'll continue to invest to support this balance because it's critical to sustainable top-line growth. Our Power Brands delivered another solid quarter and, once again, outpaced category growth. We're pleased to see that our largest, most important brands continue to perform well, even in the face of challenging market conditions. On the bottom-line, we delivered another quarter of outstanding margin and earnings growth, with adjusted OI margin up 220 basis points, and adjusted EPS up more than 40% on a constant currency basis. Our year-to-date results position us well, not only for the balance of this year, but also as we progress toward our 2018 adjusted OI margin target of 17% to 18%. Finally, we remain committed to a balanced and disciplined capital deployment plan, one that drives long-term growth through reinvestment in the business while providing compelling capital returns to our shareholders. Year-to-date, we've returned $2.6 billion to our shareholders, including $1.8 billion in share repurchases. Looking ahead, we expect the environment to remain challenging, but we will continue to deliver our financial commitments by maintaining focus on what we can control, and by executing the three pillars of our growth strategy. First, as we contemporize our core, we're increasing A&C support behind our Power Brands, selectively investing in trade to narrow price gaps, sharpening connections with our consumers through digital marketing, and innovating to redefine permissible snacking. This is playing out in our improving vol/mix and solid performance of several key Power Brands. For example, Oreo, belVita, and Milka, all posted mid- to high-single-digit growth year-to-date, and we have solid momentum behind our Thins biscuit platform, which includes innovations like Oreo Thins and Chips Ahoy! Thins on the sweet side and GOOD THiNS and Ritz Crisp & Thin on the savory side. Second, we're filling key white spaces by establishing beachheads in key markets. We recently launched chocolate in China, where initial response to our Milka bundle has been very positive. We're also launching Mainstream and Premium Chocolate in the U.S., where we believe the Oreo and Green & Black's brands will resonate well with consumers. We acquired the license to sell Cadbury branded biscuits around the world. This will enable us to grow our Cadbury choco-bakery portfolio in more than 100 markets. And in Japan, we launched Oreo, Ritz, and Premium biscuits in September, following the repatriation of our brands there. These white space opportunities will unlock sizable incremental growth in the near-term beyond our current run rates. And third, we're continuing to drive selling and channel ubiquity by expanding our routes to market and improving in-store execution. This includes a significant focus on e-commerce, which grew approximately 40% in Q3. Of course, given the challenging macroeconomic conditions, we're being quite selective with our investments. This helps balance margin expansion with revenue growth, both short and longer term. Net, we remain confident that a focused and disciplined growth strategy, our strong record of delivering cost saving and margin expansion, together with our improving cash flow, will enable us to accelerate growth on both the top- and bottom-lines over the long-term and create significant value for our shareholders. With that, I'll turn the call over to Brian.
Brian T. Gladden - Mondelez International, Inc.: Thanks, Irene. Good morning, everyone. We performed well on a number of key measures in Q3, and again, delivered solid financial results. Organic net revenue increased 1.1%, despite the negative impact of approximately 80 basis points from our revenue management actions. Our Power Brands again drove our top-line, up 2.5%. And as Irene mentioned, we delivered another quarter of vol/mix improvement which drove almost half of the revenue growth. Emerging markets rose 2% due to currency-driven pricing and inflationary markets. Our developed markets increased 0.6%, driven by positive vol/mix, while also significantly expanding margins. Now let's take a look at our margin performance. We delivered another quarter of robust adjusted OI margin expansion. Our adjusted gross margin increased 30 basis points to approximately 40%. Continued strong net productivity drove the improvement, which was somewhat offset by higher trade and pricing investments in a few key markets. Adjusted OI margin was 15.8%, up 220 basis points. This improvement was driven by continued reductions in overheads as a result of zero-based budgeting and the expansion of global shared services. The margin improvement included a net benefit of approximately 30 basis points from certain non-core items such as VAT-related settlements, gains from the sale of property, and costs related to our U.S. labor business continuity planning. As Shep mentioned at the beginning of the call, these results now exclude the impact of mark-to-market, which was immaterial in the quarter. Making this change allows for some reduction in both complexity and cost, while providing investors with the same transparency of mark-to-market impacts. We continue to be pleased with our progress on the cost agenda and margin expansion. We're ahead of plan for the year, and we'll be even more aggressive in both overheads and cost reductions, given the more challenging top-line growth environment. At the same time, we're fully committed to support our Power Brands with increased A&C investment. In Q4, we expect to make additional investments to drive revenue and share growth as we head into 2017. Let me now provide some color on our performance by region. In North America, we delivered another strong quarter of margin expansion as adjusted OI margins improved by 220 basis points, primarily driven by continued overhead reductions and good net productivity. On the top-line, our North American business grew about 1%, driven by solid vol/mix. Biscuits growth was led belVita, Chips Ahoy!, Ritz, and Wheat Thins, which all posted solid gains. Despite soft gum and candy results, Sour Patch Kids delivered another strong quarter of growth while expanding share, and Stride posted double-digit growth following the brand's re-launch at the end of Q2. Europe also delivered another quarter of strong margin growth, with adjusted OI margin up 230 basis points to 19.7%. Productivity and lower overheads drove those gains. Organic net revenue was up 1%, primarily due to solid vol/mix. Biscuits posted significant growth, thanks to strong results in the UK and France. Chocolate growth in Germany was also a key driver. In EEMEA, market dynamics deteriorated, especially in the Middle East, as the Gulf States and Saudi Arabia deal with the ongoing pressures resulting from persistent low oil prices. As a result, organic revenue declined just over 1%, and adjusted OI margin decreased 100 basis points driven by lower volume leverage. We're planning for continued weak demand from the Middle East markets over the next few quarters. Once again, however, Russia was a relatively bright spot in the region, posting double-digit growth in biscuits and modest single-digit growth overall. Please take note that this will be the last quarter we talk about EEMEA, as we consolidate this region into our Europe and Asia Pacific businesses. Details of the change are provided in our second quarter and third quarter 10-Qs. In Asia Pacific, adjusted OI margins grew 340 basis points to 13.4%, driven by improved overheads and good productivity. Organic revenue increased 1.5%, primarily due to vol/mix improvements, as AP grew for the sixth consecutive quarter. India posted mid-single-digit growth, fueled in part by continued strength in chocolate, and the launch of Bournvita biscuits. Southeast Asia delivered good share momentum with solid top-line growth in both the Philippines and Vietnam. We continue to see great results from our Kinh Do acquisition as Vietnam delivered high-single-digit growth. Biscuits grew share by nearing two points. China declined slightly due to soft demand across most categories. That said, we continue to hold or grow shares across our categories and are encouraged by the early market feedback on our launch of Milka chocolate. In Latin America, adjusted OI margin increased 540 points to over 15%, primarily driven by the VAT-related settlement in the quarter. Excluding this settlement, margins still posted solid growth. Organic net revenue increased nearly 3%, led by Mexico and Argentina. Mexico grew mid-single-digits, driven by balanced vol/mix and pricing, while Argentina grew high-double-digit through pricing to offset currency-driven inflation. Consistent with our commentary from last quarter, Brazil continued to be difficult, as the economy remained in deep recession. Government austerity measures, tight credit conditions, and high unemployment are all weighing on consumption. We took actions to narrow price gaps in the quarter and we delivered modest growth in chocolate. We're being very selective to protect margins, but we're still seeing some down-trading, especially in biscuits. Unfortunately, we don't see any short-term catalyst for improvement in the Brazilian economy and are planning for this challenging situation to continue into at least the first half of 2017. Let me now spend a few moments providing some highlights on the category performance. In aggregate, category growth continued to slow in the third quarter, and is now at 2.6% on a year-to-date basis. While our growth has trailed categories overall, this is primarily due to our revenue management actions and reflects a conscious decision to forgo revenue with lower margins. Our biscuits business grew nearly 2%, with strength in the UK, the U.S., and Germany. Both belVita and Oreo continued to drive our biscuits results. The launch of Chips Ahoy! Thins in the U.S. also fueled the category. Three quarters of our revenue grew share. Chocolate grew 2%, driven by solid results in the UK, Germany, and India. More than half of our revenue grew share in this category. As we discussed at the Barclays event in September, we're launching chocolate in the U.S. and are encouraged by the initial customer feedback. A limited selection of products will be available in the market during the fourth quarter. This, together with our recent launch of Milka in China will begin to have a more material impact on revenue in Q4 and into 2017. Gum and candy increased just over 1%, led by solid performance in Mexico and the U.S. About half of our revenue in this category gained or held share. Turning to earnings per share, in Q3, we delivered adjusted EPS of $0.52, which was up 42% on a constant currency basis. This growth was primarily driven by strong operating income, as well as lower taxes and continued solid results from our coffee equity investments. Moving to cash flow and capital return, as we highlighted in September, we continue to have a strong focus on improving our cash conversion cycle. To that end, in Q3, we generated approximately $500 million of free cash flow. Several factors such as improving margins, declining CapEx, lower restructuring charges, and improved cash conversion metrics put us in a good position to double our free cash flow in 2018. During the quarter, we returned more than $700 million of capital to shareholders, which brings us to $2.6 billion in capital return through nine months. To-date, we've repurchased approximately $1.8 billion of shares, at an average price of $41.64. We've now increased our target for share buybacks, and expect to repurchase approximately $500 million in the fourth quarter. Before I turn to the outlook, you likely saw that we launched a debt tender and also raised $3.75 billion in new notes last week. As you would expect, we're taking advantage of favorable market conditions, and very attractive pricing to lower our interest cost and increase our flexibility. This is expected to be debt neutral, as we intend to use the net proceeds from the issuance to fund all or a portion of the tender offer, while using the remaining proceeds for general corporate purposes including funding near-term debt maturities. Now to the outlook. Given the slower category growth environment and more challenging conditions in emerging markets, we now expect full year organic net revenue to grow approximately 1.6%. This includes about 100 basis points from our revenue management actions. Underlying that revenue growth, we expect positive vol/mix in the fourth quarter and flat to slightly positive vol/mix for the full year. We remain on track to deliver our 15% to 16% adjusted OI margin target. We expect to achieve this while making additional growth investments in the fourth quarter to stage 2017. We're also increasing our EPS outlook for the year, which reflects our strong year-to-date performance. We now expect full year EPS to be up approximately 25% on a constant currency basis. And with respect to free cash flow excluding items, we continue to expect to deliver at least $1.4 billion for the year. So to wrap up, we feel good about our year-to-date performance, especially in light of the difficult macro backdrop. We're pleased with the improving quality of our top-line despite slower growth overall. Our vol/mix trends continue to demonstrate healthy improvement, including positive growth in Q3 and flat to positive growth for the full year. Our teams continue to deliver significant adjusted OI margin expansion, while increasing investments in our Power Brands. And we're making capital return a priority with $2.6 billion returned to shareholders year-to-date. Looking forward, we remain confident in our ability to deliver our commitments and remain on track to reach our adjusted OI margin target of 17% to 18% in 2018. As usual, we'll provide our outlook for 2017 during our Q4 earnings call. And with that, let's open it up for questions.
Operator: The floor is now open for your questions. Your first question comes from Bryan Spillane of Bank of America.
Bryan D. Spillane - Bank of America Merrill Lynch: Hey, good morning, everyone.
Irene B. Rosenfeld - Mondelez International, Inc.: Good morning, Bryan.
Brian T. Gladden - Mondelez International, Inc.: Good morning, Bryan.
Bryan D. Spillane - Bank of America Merrill Lynch: I guess just wanted to follow-up on, in the course of the presentation you made a few references about, particularly in some of the emerging markets, just that the macro environment's pretty weak and also even the snack category growth, which I guess on slide eight, you've seen kind of the category decelerate. So can you – and I know it's a little early to talk about 2017, but can you just talk about how you're thinking about sort of the macro environment as you're planning for 2017? And also against that backdrop, what gives you the confidence that you get a little bit of improvement sequentially in sales growth for the fourth quarter given just that it seems like the environment may be even getting a touch worse?
Irene B. Rosenfeld - Mondelez International, Inc.: Well, Bryan, first of all, we are not expecting a dramatic change in the macro backdrop and so we continue to plan our business accordingly. We're focused on what we can control. So we're going to continue to focus on our cost structure and making sure that our investments are being laser-focused on the places where we think we can get the best returns. That algorithm is working well for us, and we will continue to deploy that algorithm as we look into 2017. So we're not going to give you any guidance today, but I will tell you our playbook is going to look quite similar, where we're going to continue focus on our Power Brands and focus in those places for investment that we think we can get the best return while continuing to streamline our cost structure to drive our margin expansion. As we think about the fourth quarter, we are not expecting a real change in the base momentum of our business today, but we have a number of incremental initiatives that we talked about in the course of the conversation here. We're continuing the roll-out of China chocolate. We launched it in late Q3 and we'll get a benefit in Q4 and into 2017 from that roll-out. We'll start to benefit from the initial shipments related to our chocolate launch in the U.S. behind the Oreo and Green & Black's trademarks, as I mentioned. We're repatriating our Nabisco brands, particularly Ritz, Oreo, and Premium in Japan. That will be incremental to our base. So all of those actions, on top of our base momentum, is what gives us confidence that we will see some improvement in momentum as we exit the year.
Bryan D. Spillane - Bank of America Merrill Lynch: All right. Thank you. And can I just follow-up on this category slowing, is that more just macro like you've just got weakness in certain markets, so emerging markets, or is there something structural that's going on?
Irene B. Rosenfeld - Mondelez International, Inc.: We don't see anything structural. There's no question in some of these markets, given our strong market positions, we have an obligation to fuel that growth of the category, and that's why we're continuing to make investments, we're continuing to focus our innovation pipeline on the launch of well-being products like GOOD THiNS and that is helping to stimulate market growth. But overall, the major factor is the macroeconomic backdrop, which clearly has a dampening effect on consumer demand.
Bryan D. Spillane - Bank of America Merrill Lynch: All right. Thank you, Irene.
Brian T. Gladden - Mondelez International, Inc.: Thanks.
Operator: Your next question comes from Ken Goldman of JPMorgan.
Kenneth B. Goldman - JPMorgan Securities LLC: Hi. Good morning.
Brian T. Gladden - Mondelez International, Inc.: Hi, Ken.
Kenneth B. Goldman - JPMorgan Securities LLC: I just wanted to clarify, in Latin America, I think you said the margin improvement was mainly because of the VAT settlement in the quarter. Could you help us quantify exactly how much that helped?
Brian T. Gladden - Mondelez International, Inc.: In Latin America, it was fairly significant, it represents – and it'll be laid out in the Q, I think we give the dollars, actually. It's in the range of $30 million – $35 million of benefit for the VAT settlement. But the margins otherwise in LA [Latin America] were actually up year-over-year, excluding that. So there's good progress on that productivity as well as overheads in Latin America.
Kenneth B. Goldman - JPMorgan Securities LLC: Okay. And is that a onetime thing or...
Brian T. Gladden - Mondelez International, Inc.: Yeah.
Kenneth B. Goldman - JPMorgan Securities LLC: ...Latin American VAT is not my expertise? Okay. Perfect.
Brian T. Gladden - Mondelez International, Inc.: It is, yeah.
Kenneth B. Goldman - JPMorgan Securities LLC: Okay. And then, Irene, you said this morning that some of your revenue initiatives will lead to I think "sizable" incremental growth in the near-term. I'm just trying to figure out, you hopefully laid out some of the tailwinds, U.S. chocolate, Cadbury, biscuits, and I think the launch of some products in Japan. As you think about all of these, I guess which is the most important in terms of pushing your sales higher? I'm just trying to get a better sense of maybe the opportunity you see in each of these.
Irene B. Rosenfeld - Mondelez International, Inc.: Well, certainly from a magnitude standpoint, China's the world's second largest economy so we feel very good about, very bullish, about the launch of chocolate in China. We have had very strong results from our launch of gum in China. It's over $200 million business today. We only launched it two years ago or so. So that's probably the biggest. But the U.S. is the largest chocolate market in the world, and we think we're well positioned with a mainstream offering in terms of the Oreo chocolate and then a premium offering under the Green & Black's trademark. That will be offered both online and in e-commerce, and we have – we think those can be sizable additions to the portfolio. So those would be the two biggest on the incremental side. And then certainly, as we enter 2017, we'll share with you our innovation pipeline for 2017, but we've got some very strong contributors there as well.
Kenneth B. Goldman - JPMorgan Securities LLC: Thanks, Irene.
Operator: Your next question comes from Andrew Lazar of Barclays.
Andrew Lazar - Barclays Capital, Inc.: Good morning, everybody.
Brian T. Gladden - Mondelez International, Inc.: Hey, Andrew.
Irene B. Rosenfeld - Mondelez International, Inc.: Hey, Andrew.
Andrew Lazar - Barclays Capital, Inc.: Just two questions, if I could. First, just with respect to mark-to-market, I guess, maybe what drove the timing to make that adjust this quarter as opposed to, like, at the end of the year, let's say? And then, given, I think, the mark-to-market was a headwind of about $50 million on a year-to-date basis, I guess can you confirm that the full year margin guidance would still apply even if the mark-to-market was still included? First question.
Brian T. Gladden - Mondelez International, Inc.: Yeah. Yeah, it does. I mean, it was never contemplated. I mean, we always assumed zero in our guidance for mark-to-market and then you get quarter-to-quarter volatility, and then sometimes year-over-year, obviously, volatility. Year-to-date, it basically creates 30 basis points of favorability by excluding mark-to-market, so it's been a headwind of 30 basis points. The timing, I would say, Andrew, I mean, it's something we've been looking at and benchmarking. I think – we thought about the timing. The reality was it was relatively minor in the quarter, relatively minor for the year. As we think about places where we're putting hedges on for longer periods of time, it just got to the point where the volatility has increased over time. It has been more pronounced over the last year or so. And it just seemed like the right time to do it.
Andrew Lazar - Barclays Capital, Inc.: Got it. Okay, thanks for that. And then on gross margin, I guess, margins didn't expand on the gross margin side as much as we had modeled in the quarter.
Brian T. Gladden - Mondelez International, Inc.: Yep.
Andrew Lazar - Barclays Capital, Inc.: And I guess with all of the supply chain productivity that's really building and starting to come through, in theory a lot more powerfully, I guess I was surprised by that. And so I'm trying to get a little more clarity on that. Was it just the trade spending that you talked about? Is that still an impact that we'd see in the fourth quarter? And is there any change to sort of the expectation of getting to 42% to 43% gross margins by 2018?
Brian T. Gladden - Mondelez International, Inc.: No, look, I think – so, it was 30 basis points in the quarter. It's up 110 basis points year-to-date. It will continue, Andrew, to be a big driver of margin expansion delivery for us, and feel good about the supply chain reinvention plans. Net productivity execution continues to be very strong. We gave you a range for how we're executing there. And I would just say we continue to see a lot of runway into 2018 and beyond with the supply chain and gross margins. So there were several areas where we invested trade spending, adjusted pricing, really trying to balance growth in margin, given competitive environment. Over time, as our algorithm, as we've said, we think we can manage pricing net of commodities to the point with where we can drop through productivity and allow pricing net of commodities to be about flat. But that'll be over time and it won't be linear. It will vary quarter-to-quarter. I think that's what you're seeing. Feel good about the overall margin delivery, offset some of the gross margin challenge with SG&A, and delivered. We're up year-to-date 260 basis points on OI. So we tend to think about it that way. It will vary, it will be a little bit lumpy and we feel good about the execution on supply chain.
Andrew Lazar - Barclays Capital, Inc.: Great. Thanks very much.
Brian T. Gladden - Mondelez International, Inc.: Thanks, Andrew.
Operator: Your next question comes from Chris Growe of Stifel.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Hi. Good morning.
Irene B. Rosenfeld - Mondelez International, Inc.: Hi, Chris.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Hi. I just wanted to ask first, if I could, as you think about some of the activities around revenue management this year, I guess without getting into guidance, is the expectation that those will not continue in 2017? So hopefully your growth is more like your categories in 2017?
Brian T. Gladden - Mondelez International, Inc.: That's what we've been saying, Chris. I think that's still true. We are continuing our work on trade optimization and learning more there. I think we still have opportunity there. It will be a little bit of a headwind. SKU reductions and overall pruning, I think, has tailed off a bit, pardon the pun. But it ultimately is one where I think we're in a position where that will be a smaller impact as we head into next year and we'll update you on that in February.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Okay. And I may have missed it in your remarks, but I just want to understand, the third quarter is supposed to be a quarter where you had a larger increase in A&C spending, and then less so on the fourth quarter. Is that the way it worked out? Because you also mentioned you were going to increase that in the fourth quarter as well. Just trying to get, like, order of magnitude or how it may be different from what you thought before.
Irene B. Rosenfeld - Mondelez International, Inc.: No, it's playing out pretty much the way we had thought, Chris. We're spending about 9% of revenue, and given the market conditions, we're being quite selective in where we spend that money and certainly within the mix we're paying a lot of attention to making sure that we're spending behind our Power Brands and the places we can we think we can get the best return. And within A&C, we're putting a lot more emphasis on advertising rather than consumer promotion. And within advertising, we're shifting more to digital around the world. So, net, is the mix of that spending is looking a little different. The magnitude of the spending is essentially what we thought, at about 9% of revenue, and you will see that play through into the fourth quarter as well.
Brian T. Gladden - Mondelez International, Inc.: And, Chris, when you look at the magnitude of the white space launches, whether it's chocolate in China or the U.S., or even Japan, I mean, those are places that are going to require some incremental investment as we head into the fourth quarter. So that's one of the drivers as we talk about the incremental investment in Q4.
Christopher Growe - Stifel, Nicolaus & Co., Inc.: Okay. That's helpful. Thank you for the time.
Brian T. Gladden - Mondelez International, Inc.: Yep.
Operator: Your next question comes from Matthew Grainger of Morgan Stanley.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Hi. Good morning, everyone. Thanks for the question.
Brian T. Gladden - Mondelez International, Inc.: Hey, Matt.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Hi. Brian, first I just had a follow-up on gross margin. How would you characterize where you stand right now in terms of generating a sufficient level of volume to be able to really effectively realize the full margin benefits of the Lines of the Future? And is the slowing category growth outlook going to be a constraint in that respect as you try and move up toward that 42% to 43% target?
Brian T. Gladden - Mondelez International, Inc.: Yeah, Matthew, I would just say, it is a challenge, it is something that we, obviously, are dealing with. And you heard me call it out in region performance, and it's affected Latin America and EEMEA, most recently in the last quarter, the volume leverage. But I would just tell you that the supply chain team is adapting the plans. We've pulled CapEx, as we talked to you about in September; that was volume-related out in many cases, redeployed that in additional programs that are more focused on getting cost out and delivering the benefits. So I think it's – yeah, it's a pressure, but I would tell you that our team is reacting, and we're refocusing the plans where we can see the benefits.
Irene B. Rosenfeld - Mondelez International, Inc.: The other thing I'd say, Matthew, is just like in A&C, we're continuing to distort those investments to the places where we think we can get the best return. So most of our Lines of the Future are for our Power Brands, which, year-to-date, are growing over 3% in excess of our categories. And so, that's the reason why we will continue to disproportionately focus our attention and our investments on those Power Brands, because they are inherently advantaged. And as we then start to produce them on Lines of the Future, they're even more advantaged.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Okay. Great. Thanks. And, Irene, I also wanted to – sorry – come back to the issue of price gap management and some of the tactical trade promotion that you've been doing. You've been fairly vocal about U.S. biscuits in Brazil, but are you seeing similar dynamics in any specific markets or categories in Europe and Asia, given that we did see some price deceleration in those regions as well?
Irene B. Rosenfeld - Mondelez International, Inc.: No, I would say, those are the two most pronounced. And again, we're continuing to see the reality that that investment does not necessarily stimulate category growth. And so, over time, we are continuing to invest in the underlying equity of our franchises, even in those markets, because that is really the way to drive long-term category growth. Particularly in markets like our emerging markets, one of the benefits of our supply chain reinvention, aside from recapitalizing onto or capitalizing onto more efficient assets is the flexibility that they give us to be able to make packages of different sizes. And that's been an important tool in our arsenal as we seek to make sure that we're providing adequate value on our brands. So that's how we're managing it. And, again, I think as you see the results, we're starting to see vol/mix. We're pleased to see vol/mix playing a more important role and a positive role, both in this quarter and then certainly as we look at the full year.
Matthew C. Grainger - Morgan Stanley & Co. LLC: Okay. Great. Thanks again, Irene.
Operator: Your next question comes from Alexia Howard of Bernstein.
Alexia Jane Howard - Sanford C. Bernstein & Co. LLC: Good morning, everyone.
Brian T. Gladden - Mondelez International, Inc.: Hey, Alexia.
Alexia Jane Howard - Sanford C. Bernstein & Co. LLC: In the gross margin year-on-year change, you talked about how it looks a lot better on a constant currency basis. Could you talk about what the transactional headwinds have been in there and whether those are expected to persist? And then as a follow-up, how quickly are you expecting to ramp-up distribution on the chocolate in the U.S. market? And how early in 2017 do you expect the broad-based marketing campaign to start? Thank you.
Brian T. Gladden - Mondelez International, Inc.: Yeah, I'll take the first part. I think gross margins in general, currency this year has been a bigger impact for us than commodity. That's forced us, in some cases, to price, and that's created some of the challenges we've talked about in a couple of the emerging markets. But I would say, for the most part, it's moderated. The UK continues to be a bit of an outlier with the recent Brexit impact, and we're working our way through that. We're pretty balanced, though, as you look at the UK, as I said, in the second quarter, our exposure on the transaction basis in the UK is balanced, given we have production. Quite a bit of our supply comes out of the UK and is based in local currency. So for the most part, that's not as significant as you might expect. We do also then buy a lot of our cocoa in British pounds and that as well has created a bit of a cushion for us in other parts of the global business. So that said, cocoa in the recent weeks and even a couple of months has actually inflated a bit in U.S. dollars. And if that persists, that will be a challenge for us as we move forward, we'll have to monitor and manage that as we move into 2017. But I think, for the most part, in gross margin we've done a reasonable job this year balancing the impact of transactional currency and pricing appropriately in key markets.
Irene B. Rosenfeld - Mondelez International, Inc.: As we think about the chocolate support, Alexia, we're just turning on the support in China right now, as I mentioned, we're just shipping the bulk of our inventory into our customers. The U.S. support is actually going to be more into 2017. I'm not going to tell you exactly when because I think our competitors would love to know the answer to that. But it is a big piece of our plan for next year, and an important part of our confidence about the incrementality of the opportunity.
Alexia Jane Howard - Sanford C. Bernstein & Co. LLC: Great. Thank you very much. I'll pass it on.
Brian T. Gladden - Mondelez International, Inc.: Thanks.
Operator: Your next question comes from Jason English of Goldman Sachs.
Jason English - Goldman Sachs & Co.: Hey, good morning, folks.
Brian T. Gladden - Mondelez International, Inc.: Hey, Jason.
Jason English - Goldman Sachs & Co.: Thank you for the question. Brian, you mentioned improving cash conversion metrics on the forward. You guys have been holding me on the line on your free cash outlook for the year. As you mentioned in September, you took down your CapEx outlook and certainly today your EPS outlook implies a more robust net income figure. So I guess my question is, where is the cash leakage on that? Net income's going higher, CapEx is going lower, but free cash flow's kind of flat lining. Why aren't we seeing better conversion on this?
Brian T. Gladden - Mondelez International, Inc.: I think the simple answer, I mean, clearly it's a year where we're maxing restructuring spending. This is the peak year along with last year and next year that will begin to go down, Jason. That's probably the biggest. We have said at least $1.4 billion; I think we're encouraged with the progress. We're a bit above our own expectations on cash conversion cycle year-to-date. So we'll see how it plays out in the fourth quarter. As you know, it's a big load of cash that comes in in the fourth quarter given the linearity of the business. So we'll see. But we're feeling good about it. And as I said, cash conversion cycle's ahead of plan, even our internal plans.
Jason English - Goldman Sachs & Co.: Okay, got it. That's helpful. And one more and I'll pass it on. Just in terms of the tax outlook, it looks like you've kind of tweaked it down a little bit, not as big as maybe I thought it would be at first blush from the release this morning. How sustainable is it or should we be sort of wary of a potential tax rate step-up in the future?
Brian T. Gladden - Mondelez International, Inc.: Yeah, based on all we know, I mean, we're saying about 20% (39:20) for the quarter. It implies something in the low- to mid- 20%s (39:24) for the fourth quarter. We haven't changed our long-term guidance which is in the mid- 20%s (39:29). And I think that's just, over time, the mix of business evolves and some tax statutes expire that have given us a bit of an advantage. So we'll manage it. You have discrete items. We had a significant number of discrete items in the quarter around the U.K. and Europe and in Latin America – more than we would typically have – that drove the lower rate. So nothing's really changed, I would say, Jason.
Jason English - Goldman Sachs & Co.: Got it. That's helpful. Thank you, guys.
Operator: Your next question comes from David Palmer of RBC Capital Markets.
Brian T. Gladden - Mondelez International, Inc.: Hey, David.
David Palmer - RBC Capital Markets LLC: Sorry about that, I was on mute. Just to follow up on promotion spending. It looks like trade investment is having modest volume payoffs, but it's offsetting some of that other revenue management benefits that you're getting to pricing and gross margins. What's been your self-grade on the revenue management that you're deploying, including the recent promotion efficiency? Has it been worth it, some of these reinvestments? And then what should we be looking for in terms of the cross currents to gross margins from that trade spend? Thanks.
Brian T. Gladden - Mondelez International, Inc.: Yeah, again, I break it into the three pieces. I mean, the SKU rationalization and pruning, and in some ways walking away from very low margin business. Obviously, that's helped us contribute to the margin expansion. It's been an element of that margin progress. Revenue management itself and the trade optimization piece of that, I would say, we're still making progress in the early phases of that. We're focused on 10 markets where the majority of our revenue is. And the majority of our trade spending, we've resourced it appropriately. We're finding opportunities to spend our dollars more effectively. To be honest, we're finding opportunities to actually grow revenue by appropriately allocating those dollars and distorting those dollars. The analytics have proven to be incredibly powerful, and the centralization and aggregation of that data is very powerful. So I think that will continue to be something that we resource and build into our plans for next year. It is mixed. It will have some pressure on revenue in some markets, and as I said, with the optimization of promotional spend, we can actually see upside in revenue and margin. But as I said in the earlier question, the pruning and SKU rationalization related to supply chain reinvention is, I would say, it's diminishing. It's getting smaller. So as we head into next year – and you asked about the trend, I think it will be less of a negative impact for next year.
Irene B. Rosenfeld - Mondelez International, Inc.: Mostly, David – facts are a very powerful thing, and so as we go to our customers with the data on ROI related to the spending with them, we have a much easier conversation, a much better story, and we're working together because both of us want to get better returns for the money that's being invested. So it's actually making for a much more robust conversation. And as Brian said, we're really getting a lot of learning as we get into this.
David Palmer - RBC Capital Markets LLC: Just a follow-up comment is that some companies and consultants are increasingly sharing this dream that better analytics are now coming about that you can shift the spending from lower ROI promotions to higher ROI, and with some lead-time, you may not have that volume trade-off that more blunt shifts have made in the past. I don't know if you believe that, come 2018, say, or by 2018, you could be getting better at this, such that we see net revenue improvement without the volume hit.
Brian T. Gladden - Mondelez International, Inc.: Yeah, we're seeing that, David. And there, clearly, are some areas where we have low hanging fruit. I would say, the developing markets, the emerging markets which still have a fair amount of trade spend, that's where it's toughest, because the data is hardest to get at. But some of the more developed markets – what you're saying makes sense, we're going to find areas of distorting spend and moving it to the right places, improves the ROI and could be in that positive on the top-line.
David Palmer - RBC Capital Markets LLC: Thank you.
Operator: Your next question comes from Steven Strycula of UBS.
Steven Strycula - UBS Securities LLC: Hi, and good morning. Question for Brian. I wanted to get a sense of how we should think about the split of margin expansion in the fourth quarter between gross and SG&A, just because the last two quarters we've seen a little bit heavier lean on SG&A for expansion. That question, and then I have a follow-up.
Brian T. Gladden - Mondelez International, Inc.: Yeah, I guess, Steven, I'd go back. I mean, when we talked, I guess it was at CAGNY, we said longer term the biggest lever from here to our targets in 2018 is really gross margin. We would say that's still true. The work that we're doing, the line of sight we have, the programs in place, getting to the Lines of the Future targets we talked about – we're at 50 today and we've still got more to do. That's absolutely where we're headed. I would say, in the short-term, the trend you're seeing right now is probably more consistent with what you'll see, that it'll be a mix. It will be – no one quarter is going to be easy to sort of predict, and we're not going to provide that level of granularity. But I think you'll see more SG&A and a little bit less on the gross margin in the fourth quarter.
Steven Strycula - UBS Securities LLC: Great. And how should we think about the cadence or the growth rate of U.S. or North American business, just given that biscuits were a little bit weaker in the second quarter, feels like it got a little bit better in the third quarter, and we're just lapping a really challenging year-over-year comparison in the fourth quarter. So just trying to think through how much is self-control, how much is a little bit of new innovation kicking in against a tough comp.
Irene B. Rosenfeld - Mondelez International, Inc.: We actually think, Steven, a lot of it is under our control. Historically, the category has benefited from our innovation and from the muscle of our DSD selling organization. And we're – we believe that continuing to innovate, support the franchises, and leverage our DSD muscle is going to allow us to get that category growing again. So we've got a sizable amount of continued A&C investment. We're continuing to innovate behind ideas like GOOD THiNS and belVita Bites and Chips Ahoy! Thins, which are driving some very nice incremental growth. And good programming with our retail partners. And so together, we would expect that to help bring that category back to a more robust rate of growth.
Steven Strycula - UBS Securities LLC: Great. Thank you.
Brian T. Gladden - Mondelez International, Inc.: Thanks, Steven.
Operator: Your next question comes from Rob Moskow of Credit Suisse.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): Hi...
Brian T. Gladden - Mondelez International, Inc.: Hi, Rob.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): ...Irene and Brian. had a question about the gap between your margins in developed markets versus developing markets. You've boosted – most of the margin improvement has come from North America and Europe, now at 20%, and the developing markets are in the low-10%s and maybe teens, but I'm just wondering, if you think back today versus maybe a few years ago, do you feel like you still have the same pricing power in those developing markets, given the slowdown in macroeconomic conditions? Maybe the competition has gotten tougher, and what do you think you have you to do in order to boost margins in those markets, given also the investment needs for growth?
Irene B. Rosenfeld - Mondelez International, Inc.: So, Rob, we still are getting good pricing, not as much as we were able to in the emerging markets, but the truth of the matter is that our revenue growth in the emerging markets, as Brian mentioned, were up about 2%. About five points of that is pricing. And so we're continuing to get pricing in these markets. As I mentioned earlier, we're looking to be a lot smarter in how we execute that pricing, looking much more to use price pack architecture, smaller sizes, economy sizes to deliver that pricing. And so, we're still getting pricing. The facts are, if you look at our margin performance for our emerging markets, we're getting up to the level of our peers. There continues to be an important component of overhead scale leverage there, so that it's critical for us to fuel the growth there to be able to leverage and amortize that infrastructure. And certainly in our developed markets, we're – in Europe, I think we're probably among the top of our peer group. In the U.S., we're getting much more in that top quartile. So, I think our margins, overall, in aggregate we've made sizable margin expansion, 220 basis points in the quarter, 260 basis points year-to-date. And it's coming from a balance of the work that we're doing in both our developed and our emerging markets. And, again, pricing is – we feel quite confident in our ability to price smartly in these emerging markets, and the results you're seeing reflect that.
Brian T. Gladden - Mondelez International, Inc.: And there's a bit of a structural question around – as you look at the initiatives, the transformation work, whether it's supply chain reinvention, whether it's shared services, I mean, we sequence a lot of that activity and effort on the larger opportunities in the developed markets. So they're a bit behind in terms of executing on transformation, some of that margin expansion opportunity is still to come. And, as you know, we've invested, in many cases, ahead of the growth and we've chose to stick with those investments and count on the fact that those emerging markets will come back and be a nice lever for us when growth returns.
Robert Moskow - Credit Suisse Securities (USA) LLC (Broker): Okay. Thank you.
Operator: We have time for one more question. Your final question comes from John Baumgartner of Wells Fargo.
John Joseph Baumgartner - Wells Fargo Securities LLC: Thanks for taking the question. Irene, I'd like to ask about your vision for profit contribution in the emerging markets maybe a bit differently. I think the year-to-date expansion has been pretty striking and it seems to be maybe evolving a bit different relative to your base plan a few years ago, which rested more on holding margins flat and driving profit through a faster top-line. I mean, assuming the category growth does remain challenged, how are your options now evolving to address the cost base and overheads in LatAm and EEMEA going forward? Maybe follow Asia's lead.
Irene B. Rosenfeld - Mondelez International, Inc.: Very good question, and that's exactly what our intent is, is a lot of the tools that are our Asian team is using are available in our other regions. We start with EEMEA is inheriting some of the business. We announced that we're breaking up our EEMEA region, putting some of the business into Asia Pacific and some of the business into Europe, and that will inherently give us much more leverage on the Middle Eastern business and the Africa business and the Eastern Europe business. That is a part of that. So that will help actually both Europe and Asia Pacific, and basically we'll see progress there. With respect to Latin America, a lot of the tools that we're using, the base productivity shifting our product mix, very disciplined focus on overheads are the same tools that we're using and those will continue to be available in Latin America. And we're going to use those as we continue our margin expansion there. So the work that we've done in – we're very pleased with the progress we've made in Asia Pacific. A lot of it is using the very same tools that we've used elsewhere in the world, zero-based budgeting, focusing on streamlining our overheads, as Brian mentioned, moving to shared services which actually will start to affect the emerging markets more in a more pronounced way as we head into 2017. So we see the opportunities in our other emerging market geographies, similar to what we've done in Asia Pacific. But we're very pleased with the performance in Asia Pacific.
John Joseph Baumgartner - Wells Fargo Securities LLC: Great. Thank you, Irene.
Operator: With that, we thank you for your participation in today's conference. This concludes today's call. You may now disconnect.